Operator: Welcome to the Robert Half International conference call to discuss fourth quarter 2009 financial results. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half International and Mr. Keith Waddell, Vice Chairman, President, and Chief Financial Officer. Mr. Messmer, you may begin.
Harold M. Messmer Jr.: Thank you and hello, everyone. As is our custom I'd like to start by reminding everyone that comments made on this call contain predictions, estimates, and other forward looking statements. These statements represent our current judgment of what the future holds and they include words such as forecast, estimate, project, expect, believe, guidance ,and similar expressions. We believe these remarks to be reasonable, but they are subject to risks and uncertainties that could cause actual results to differ materially from the forward looking statements. Some of these risks and uncertainties are described in the press release we issued today and in our SEC filings. We assume no obligation to update the statements made in this conference call. Now let's review our fourth quarter results. Fourth quarter revenues were $737 million. This is a decline of 26% from the fourth quarter of 2008 and a sequential increase of 2% from the third quarter of 2009. Income per share was $0.09 compared with $0.25 for the fourth quarter of 2008 and $0.06 for the third quarter of 2009. Cash flow from operations was $48 million during the fourth quarter. We invested $10 million in capital expenditures during the quarter and paid a quarterly cash dividend to stockholders of $0.12 per share for a total of $18 million. We also repurchased 2 million RHI shares during the fourth quarter at a cost of $48 million. There are approximately 5.1 million shares still available for repurchase under our board approved stock repurchase plan. We were encouraged to see broad based improving demand for our professional staffing services during the fourth quarter. Each of our staffing divisions reported sequential revenue growth as did productivity on a same day basis. Keith will now provide you with a more detailed look at our fourth quarter financial results. We'll leave time for your questions after our prepared remarks.
M. Keith Waddell: Thank you, Max. We'll start with company-wide revenues. Fourth quarter revenues were $737 million down 26% from the fourth quarter of 2008 and up 2% sequentially. On a constant currency basis these rates were down 28% year over year and up 1% sequentially. There were 62 billing days in the fourth quarter, the same number of billing days as the fourth quarter of 2008. In the third quarter of 2009 there were 64 billing days. Accountemps fourth quarter revenues were $288 million. This is a 23% decline from one year ago and a 4% increase sequentially on a same-day basis. Accountemps is our largest staffing division and accounts for 39% of company revenues. There are 366 Accountemps locations worldwide. Fourth quarter revenues for OfficeTeam were $142 million down 21% from the fourth quarter of 2008 and up 9% sequentially on a same-day basis. OfficeTeam is our high-end administrative staffing division and it represents 19% of company revenues and has 324 locations worldwide. Fourth quarter revenues for Robert Half management resources were $91 million. This is a 33% decline from the fourth quarter of 2008 and a 4% increase sequentially on a same-day basis. This division places senior level accounting and finance professionals on a project basis. It has 148 locations worldwide and makes up 12% of company revenues. Fourth quarter revenues for Robert Half Technology were $76 million, down 25% from the fourth quarter of 2008 and up 6% sequentially on a same-day basis. Robert Half Technology places information technology professionals on a consulting and full-time basis. It operates in 110 locations worldwide and accounts for 10% of company revenues. Our permanent placement division Robert Half Finance and Accounting had revenues of $45 million in the fourth quarter. This is a decline of 40% from the fourth quarter of 2008 and an increase of 10% on a same-day sequential basis. This business was established in 1948 and operates in 366 locations worldwide. It accounts for 6% of company-wide revenues. Fourth quarter revenues for our international staffing operations were $190 million, down 21% from the fourth quarter of 2008 and up 8% sequentially on a same-day basis. On a constant currency basis revenues for international staffing operations were down 30% compared to the fourth quarter of 2008 and up1% sequentially. We have staffing operations at 108 locations in 20 counties outside the United States. International staffing operations represent 30% of total staffing revenues. Fourth quarter revenues for Protiviti were $96 million down 23% from one year ago and up 5% sequentially on a same-day basis. Formed in 2002, Protiviti is a global business consulting and internal audit firm providing risk, advisory, and transaction services. It has 62 locations in 17 countries and accounts for 13% of total RHI revenues. Protiviti's international operations represent 30% of Protiviti revenues. Turning to gross margin, fourth quarter gross margin and our temporary and consulting staffing operations was $206 million or 34.5% of applicable revenues. This compares with 37% of revenues for the fourth quarter of 2008 and 33.5% of revenues for the third quarter of 2009. The fourth quarter sequential increase is primarily the result of lower workers compensation accruals which were adjusted pursuant to an independent actuarial review. Overall staffing gross margin was $251 million for the fourth quarter or 39.1% of staffing revenues. This compares to 42.5% of revenues in Q4 2008 and 38.1% of revenues in Q3 2009. Overall staffing gross margin increased on a sequential basis due to a slightly higher mix of permanent placement revenues and the higher temporary and consulting margins just noted. Fourth quarter gross margin for Protiviti was $27 million or 28.7% of Protiviti revenues. This compares to 27.6% of Protiviti revenues in the fourth quarter of last year and 27.8% of revenues in the third quarter of 2009. Gross margins improved as staffing utilization rates continued to increase. Protiviti's direct costs for the quarter were down $22 million versus one year ago and were down $2 million sequentially, 24 and 2% respectively. Staffing SG&A costs for the quarter were $229 or 35.7% of staffing revenues. This compares to $302 million or 34.9% of revenues for the fourth quarter of 2008 and $223 million or 35.4% of revenues for the third quarter of 2009. Staffing SG&A costs for the quarter were down $73 million versus one year ago and up $6 million sequentially or down 24% and up 3% respectively. This sequential increase is due primarily to higher field compensation cost including additional incentive pay related to higher sequential revenues as well as discretionary field employee retention payments. We ended the year with 7,500 full-time employees in our staffing divisions down 27% from last year. Fourth quarter SG&A costs for Protiviti were $27 million or 28.4% of revenues. This compares to $33 million or 26.4% of revenues for the fourth quarter of 2008 and $26 million or 26.8% of revenues for the third quarter of 2009. Protiviti SG&A costs for the quarter were $6 million lower than one year ago and $1 million higher than last quarter. We ended the year with 2,500 full-time Protiviti employees and contractors, down 19% from last year. Operating income from our staffing divisions was $22 million during the fourth quarter or 3.5% of staffing revenues. Temporary and consulting divisions contributed $22 million of this amount of 3.7% of applicable revenues. Fourth quarter operating income for our permanent placement division was break even. Operating income for Protiviti was $300,000 in the fourth quarter of 0.3% of Protiviti revenues. Protiviti's engagement demand was particularly strong in IT security, e-discovery, and credit-risk assessments. At the end of the fourth quarter our accounts receivable were $362 million with implied days outstanding or DSO or 44.7 days. This compares to 44.6 days at the end of the fourth quarter a year ago. Now let's turn to guidance. Following a few of the trends we observed in our business during the fourth quarter and the first weeks of January 2010, on a same day sequential basis revenues from our temporary and consulting divisions increased every month during the fourth quarter. Within our permanent placement operations on a same-day basis, revenues increased in October, increased in November, and were flat in December. During the first two weeks of January revenues from our temporary and consulting businesses were down 15% compared to the same period last year. For the first three weeks of January revenues from our permanent placement division were down 21% compared to the same period last year. As we've discussed before it's very difficult to evaluate particularly important placement trends over such short periods of time. Taking into account these trends and the uncertain economy we offer the following first-quarter guidance; revenues $725-$775 million. Note that this range is $50 million higher than the guidance we gave last quarter. Income per share, $0.03-$0.08. As you know we limit our guidance to one quarter. The estimates we provided on the call are subject to the risk mentioned in today's press release. Now I'll turn the call back over to Max.
Harold M. Messmer Jr.: Thank you, Keith. As we noted earlier we were pleased to see the improving demand for our professional staffing services during the quarter. Globally it appears that many of the G20 countries may be emerging from the recession. While the US unemployment rate remains high, initial jobless claims for the most part have been declining since the end of August. We hope this is a precursor to a turnaround in the labor markets overall. As most of you know much of our client base is made up of small and midsized businesses. We've seen a lot written about limited access to credit for this business segment so we were encouraged to read in the most recent survey from the National Federation of Independent Business that only 8% of small business owners reported that their borrowing needs were not being satisfied. This is down two points from the November report. We also were encouraged to see that only 4% reported that financing is their chief business challenge. As the economy recovers we want to continue to be a resource for our clients as they rebuild their teams. Many companies made deep cutbacks in personnel during this recession, so deep that we believe many are going to need staffing services at the first sign of a pickup in their business. We believe Protiviti also will continue to be a valuable resource for clients. Protiviti has been building a loyal client base and our teams are extremely well regarded for their expertise. We've talked before about the global business trends we feel will benefit both Protiviti and our staffing operation. This includes regulatory efforts in the wake of the financial crisis. We also continue to believe the impending retirement of baby boomers from the workforce over the next several years may result in staffing shortages that could increase the need for staffing and recruitment services, but perhaps most important we feel this recession has changed the way many companies now look at their businesses and how they staff those businesses. Many of our clients discovered that employing temporary professionals offers them the flexibility to staff up or down as business needs dictate, which for some firms has been a way to avoid the cycle of over hiring followed by layoffs. It's certainly not a new concept, but the value of this approach was borne out during this very difficult and lengthy recession. The end of a year is obviously a time to reflect on where we've been in the past 12-18 months. This has been the worst general economic environment in our company's 60 year history yet even in this environment we find ourselves well positioned. We had positive operating cash flow of $240 million in 2009 which funded approximately $110 million in RHI stock repurchases, $41 million in capital expenditures, and the payment of $72 million in dividends to stockholders. We have raised our cash dividend every year since we initiated one in 2004. Our accounts receivable collection period remained virtually unchanged during the year which contributed to our cash flow. We ended the year with $366 million in cash and cash equivalents and virtually no debt. Our longstanding conservative financial policies proved particularly beneficial during the past year's difficult economic environment. This has left us with the financial resources to expand as the economy improves. We aggressively managed our operating costs in 2009 by reducing SG&A expenses by $460 million or 31%. This was accomplished while keeping more than 98% of our office network intact which we believe positions us well for the future. We also retained all key executives and field personnel even in a difficult economy which we believe is important to our future success. At this time Keith and I will be happy to answer questions. We would ask that you please limit yourself as usual to one question and a single followup as needed. If you have additional questions we'll certainly try to return to you later in the call. Thank you.
Operator: Thank you. (Operator's Instructions) Our first question comes from Tim McHugh with William Blair & Company.
Tim McHugh – William Blair & Company: Yes. Just wondering, first question would be if you can extrapolate a little what's assumed in your guidance? The year over year comparisons get a lot easier as the quarter progresses so I'm just trying to compare what you've seen in January here to what you're expecting in the rest of the quarter. Are you assuming essentially kind of a same weekly run rate or same day performance?
M. Keith Waddell: Well so let's kind of walk down the P&L and talk about guidance a little bit. On the staffing side the low-end of our guidance we hope is conservative and assumes some slight sequential declines. At the high end of our guidance it assumes the continuation of the growth rates in the fourth quarter we just reported. The first quarter and staffing traditionally is a little bit weak for OfficeTeam, management resources, and technology — the latter two where it's a little tougher to get projects started after the new year. On the other hand, the first quarter traditionally is a little better quarter seasonally for Accountemps so all of those things were considered in setting that range. For Protiviti in the first quarter it's always seasonally their weakest quarter. We've been down anywhere from 10%-20% sequentially in the first quarter in Protiviti as clients focus on getting their Ks and Qs out rather than internal audit. So our Protiviti first quarter forecast does assume a sequential decline. At the low end it's low double digits, at the high end it's down low single digits. At the gross margin line we noted that the fourth quarter benefited from a workers' comp adjustment. That adjustment was about $5 million so that will not continue into the first quarter. In addition there will be new higher state unemployment rates for 2010 which we expect to be between 1-1.25 percentage points based on the estimates we've gotten from our advisors. So the absence of the workers comp credit plus the arriving to the scene the higher state unemployment rates, probably says you're going to see somewhere between 125-150 basis points lower gross margins sequentially relative to the fourth quarter just reported. At the SG&A line we did add a little bit of headcount during the fourth quarter. We had some of our smaller offices that we felt had gotten too small as to their staff count so we added to that a little bit and we expect in the first quarter to add small numbers of staff as well, nothing significant, but a little bit. When you look at the operating income line from a staffing standpoint at the low forecast number it's obviously down based on less revenues. At the high level, on the one hand it reflects pretty high incremental margins for the revenue growth there, and remember we had 25% incremental margins in temp and 35% incremental margins in perm as we came out of the last downturn. On the other hand, offsetting that would be the absence of the workers comp credit and the new state unemployment cost which will be higher. For Protiviti in the first quarter because you're going to have some seasonally lower revenues, Protiviti will lose a little money, but we are expected to snap back to profitability in the second quarter and traditionally the second quarter does increase nicely from the first quarter. From a tax rate standpoint I would also note in the quarter just reported we had about a $1 million credit from a favorable settlement of an audit with Canada. We would not expect to see that continue to so the tax rate, whereas it was only around 40 or so in the fourth quarter, we would expect it to be between 42 and 45 in the first quarter. I guess when you step back and look at the fourth quarter there's about three pennies of noise I'll call it, from the workers comp credit and the tax adjustment, the income tax adjustment. So adjusted for that three pennies of positive noise your real base for going into the first quarter is six pennies on the bottom line, not nine pennies and that might be more than you wanted to hear, but that's kind of a tour of the P&L.
Tim McHugh – William Blair & Company: Oh great, that's helpful. The one other followup if I can ask you, you mentioned retention payments for some of your field based employees, is there any reason for concern? Are you seeing turnover pick back up as the economy's improving, or what underlined that decision?
M. Keith Waddell: Clearly it's been a tough downturn. Many of our people were underwater relative to their comp plans. We felt like it was a time to show our appreciation for hanging in there and we simply gave them credits on their score card so they weren't as much under water as they headed into the new year. So it wasn't a reflection of we experienced turnover, it was in appreciation that they'd hung in there and trying to motivate people for 2010.
Harold M. Messmer Jr.: As I noted in my earlier remarks among our key people in the field and elsewhere there actually has been no turnover so we've been very pleased.
Tim McHugh – William Blair & Company: Okay, thank you.
Operator: Our next question comes from Mark Marcon from Robert W. Baird.
Mark Marcon – Robert W. Baird: Could I ask a question around pricing? First of all just as it relates to the suda (ph), what's the year over year change their, Keith?
M. Keith Waddell: The year over year change I guess more in terms of basis points of gross margin and what we're talking about is between 100-125 basis points is what our outside advisors best guess is as to where all the state rates will end up. And interestingly when we looked back at '04 versus '03, those rates actually went up 125 basis points so I was pleasantly surprised frankly given economic conditions that it wasn't going to go up more than that.
Mark Marcon – Robert W. Baird: Okay so that's basically the increase is 100-125 basis points?
M. Keith Waddell: That's right.
Mark Marcon – Robert W. Baird: Okay, just wanted to clarify that. And then what are you seeing in terms of pricing just on the core Accountemps and OfficeTeam and the staffing areas, particularly with your smaller clients.
M. Keith Waddell: Right. So for the quarter our average pricing was down 4.5% and that's better than it was last quarter where it was down over 6% and sequentially versus the third quarter prices are down about a half of 1% and that compares favorably to the third quarter where prices sequentially were down a little over 1%. So improving, but still down a little bit sequentially, but clearly improving, clearly firming up a little bit.
Mark Marcon – Robert W. Baird: And is it your sense that we've hit bottom and things are going to start picking up as it relates to pricing or are the pressures still there?
M. Keith Waddell: Yeah. If you look back in '03-'04 there is typically a two or three quarter lag between when your volumes pick up and when your pricing actually increases year over year. So although a lot of traditional trends haven't repeated so far, that was the trend back then. Now traditionally just on the volume front, traditionally you see weakness in perm first, you see weakness in OfficeTeam next, and then you see the rest of the business weak and going into a downturn. And then traditionally coming out of a downturn OfficeTeam leads followed by accounting and tech and lagged by perm. Well, clearly this quarter it was much different than that and essentially everything improved in the same quarter and if you talk to our people what's probably the most different is whereas traditionally the admin side gets cut more by clients and therefore gets cut first by clients and is also the first back, in this downturn clients seem to cut indiscriminately across the board and because they had cut deeply across the board we see strength across the board in the early parts of this cycle.
Harold M. Messmer Jr.: We've said in several conference calls prior to this one that our strong suspicion has been that most clients really hit pretty much the panic button roughly a year or so ago with the financial crisis and they cut staff first and ask questions later so the cuts were deeper, faster, and as Keith just said, across the board. And that's our suspicion so to speak as to why this quarter has improved as it did with literally every single division showing sequential growth. It doesn't take much for pickup in demand, in other words, to prompt the need for more staff.
Mark Marcon – Robert W. Baird: And it seems fairly broad based in terms of the commentary that you've offered with regards to the trends that we've seen from October through December. It sounds like some of the data points have been a little bit more mixed in January and I'm wondering if you can give a little bit more color with regards to it and I know it's a very short time period and a few weeks does not make a trend, but can you talk a little bit about what you've seen just recently? Obviously the markets have pulled back a little bit and there's more concern about what the second half of this year might look like.
M. Keith Waddell: January's a unique period particularly early January because you're kind of restarting from the holiday period. So we gave you our year over year comparisons which compared to early January last year and clearly year over year they are better in part because the comparisons got easier. But I'd say that our people in the field, inclusive of Protiviti, remain very gung-ho, very bullish, very positive about the tone of business.
Mark Marcon – Robert W. Baird: Terrific, thank you. I'll jump back into queue.
Operator: Thank you. Our next question comes from Andrew Steinerman with JP Morgan.
Andrew Steinerman – JP Morgan: Hi there. Could you talk a little bit more about pricing, Keith? I remember last quarter a lot was happening with mix shift, we were getting away from the refi business. Is that all behind us? And then also, because perm was sort of a pleasant surprise maybe a quick comment on conversations and the affect on temp gross margins?
M. Keith Waddell: Well, as to perm and impact on gross margins, I'd say conversions were a little bit lighter, not much lighter in this quarter than was the case last quarter and the other part of your question was —
Harold M. Messmer Jr.: He asked you to comment on perm as well —
Andrew Steinerman – JP Morgan: Mix shift, refi business, is that all behind us? Is that a third quarter point or are we still rolling away from refi business which would help your temp gross margins? Or was that really —
M. Keith Waddell: Refi was essentially flat quarter on quarter so it didn't impact things much. What we call our retail business accounted for all of our growth sequentially during the quarter which we were pleased by and pay bill spreads were just a touch lighter, but not in a meaningful way. So frankly there was pretty good news across the board across the globe for the quarter.
Andrew Steinerman – JP Morgan: Okay, thank you very much.
Operator: Thank you. Our next question comes from Jeff Silber with BMO Capital Markets.
Jeff Silber – BMO Capital Markets: Thanks so much. In your prepared remarks when you talked about your own internal hiring this past quarter I think you said you added small staff. I'm just wondering were there any specific verticals or geographies that you focused on or was this across the board?
M. Keith Waddell: No, it was principally geographies where we have small offices and we were concerned that our headcount got down to too small a number and so where that was the case we added one or two people so that it wasn't dangerously understaffed, but it wasn't a large number and again there's still a lot of unused capacity in our existing staff and that unused capacity as things get better allow our people to make money again which is what they want to do. So make no mistake there's a lot of unused capacity in our existing workforce, we just had our smaller satellite locations where the headcount got too small.
Jeff Silber – BMO Capital Markets: Okay, great. And this actually ducktails right into my next question in terms of your CapEx plans for 2010 can you give us some kind of gauge what that will be and does that include some new office openings?
M. Keith Waddell: So the CapEx budget would be $40-$45 million which is essentially flattish with last year. There's no huge story there. Our back office is actually going to move five or six miles from its current location into a new building and so there's some TI's attached to that, but there's no big theme in the CapEx.
Jeff Silber – BMO Capital Markets: So are we expecting to open up new offices in any verticals or any locations?
M. Keith Waddell: Well, but remember as we said, we didn't really close any offices. I think our office count changed by eight during the course of 2009 and they were small offices so the footprint didn't contract much and I don't see the footprint expanding much, particularly during the early part of an up cycle because we have so much capacity where we already are people wise and real estate wise.
Jeff Silber – BMO Capital Markets: That makes sense. Thanks so much.
Operator: Thank you. Our next question comes from Sara Gubins with Bank of America.
Sara Gubins – Bank of America: Yeah, thank you. Could you talk a bit about what perm recruiters are saying about hiring budgets with their discussions with HR departments?
M. Keith Waddell: Well, our perm people are saying that there's very little slack in the system on the part of staff of our clients. That anytime there's turnover they have to replace it, anytime there's any increase in demand at all they have to staff for it because they've stretched their existing people as far as they can stretch them, so perm has clearly been more robust early on than we've ever seen it at this part in a cycle and we believe it all relates back to our clients, our small business clients particularly, cut so deep that they're left with no slack.
Sara Gubins – Bank of America: Okay, great. And then for a followup, although a separate topic, in terms of SG&A and temp in the first quarter we won't have the retention bonuses, but we will have more headcount so I'm wondering if net-net that would make a temp SG&A up or down sequentially in the first quarter?
M. Keith Waddell: I don't think it's going to be meaningfully different.
Sara Gubins – Bank of America: Okay. So about flat versus fourth quarter?
M. Keith Waddell: In percentage terms. It will obviously float with revenues.
Sara Gubins – Bank of America: Okay, thank you.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar with Citigroup.
Ashwin Shirvaikar – Citigroup: Hi. My question was just a followup on your incremental margin comments. Would you expect the high level of — first of all in the initial part of this recovery have you seen incremental margins at similar levels as last time and is there a reason why it should not continue for the next few quarters at least at that time?
M. Keith Waddell: Well I'd say first of all it's really early. We had 1% sequential growth on a constant currency basis so I'm not sure what we've seen yet is representative, but the point is we do expect a very robust incremental margin temp and perm. As I said last time, temp side 25% the first year coming out, perm side 35% first year coming out so we do expect very high incremental margins again as I talked about earlier. We have a lot of unused capacity in our headcount in our real estate costs and we leveraged those in the early part of an up cycle.
Ashwin Shirvaikar – Citigroup: Okay. And separate question, tax rate expectations for 2010 if you could?
M. Keith Waddell: I'll give you a relatively wide range of 40%-45%. With our income depressed, nondeductible items have a bigger impact on the rate. As things recover they'll have a lesser impact, but somewhere in the 40%-45% absent tax audit settlements like we just had favorably this past quarter.
Ashwin Shirvaikar – Citigroup: Okay, thank you.
Operator: Thank you. Our next question comes from Gary Bisbee with Barclays Capital.
Gary Bisbee – Barclays Capital: Hi. Can you give us any color in the major markets you're in, in Europe and Asia? What you're seeing, is the improvement happening in the US happening there or is it more sort of spotty as you look at the footprint?
M. Keith Waddell: Well, it's mostly good. If we kind of look at our major markets we'd say the UK was essentially flat, this is sequentially now. Belgium was up, France was up, Germany was down just a little bit, Canada was up, Australia was up, so those are our major markets in staffing. In Protiviti UK was up, France was up, Italy was up. The soft place in Protiviti for the quarter was in Asia, particularly Japan.
Gary Bisbee – Barclays Capital: Okay. And then obviously your free cash flow has been terrific the last few years with the declining revenue helping on a working capital basis and if we do return to revenue growth that would turn. Is there anything else we should think of as we try to project cash flow? I mean, so maybe working capital could be a little weaker if revenue starts growing, it sounds like CapEx will be flattish. Anything else we should think of that has a big impact one way or the other?
M. Keith Waddell: No, I don't think so. I guess I would underscore again our DSO for each of the last two years has not even changed by a day and if you were to tell me two years ago that unemployment was going from 6%-10% I certainly wouldn't have told you that our DSO wouldn't have changed by a single day. I think it's also relevant to this discussion about how credit needy small businesses are, and if our client base was having a huge credit problem it would seem to me we would see at least some of that in a stretching out of our average collection period. And the fact that we haven't seen any change in our DSO not for just one year, but for two years, seems to be as another piece of evidence that there's not this credit crunch out there with our clients that growth inhibiting relative to larger companies.
Gary Bisbee – Barclays Capital: Thanks, and I'll just sneak one more in. On that small business I asked the other companies I cover which tend to be larger who they'd use if they needed help, and especially in the finance area. And everyone says your name, so could you give us a sense what the mix really is of the really small businesses relative to the much bigger ones? Because you say that a lot and I'm not sure I really have a good handle on what your actual client base looks like outside of Protiviti. Thanks for the color.
M. Keith Waddell: Well, make no mistake we do business with very large businesses, but typically it's in very small amounts so that if you look at our revenues and if you look at our numbers of clients, it's way skewed towards small and middle-sized businesses. I think our median business client size is less than $50 million so our sweet spot, way over half of our revenue dollars are with small to middle-sized businesses, but we do do business, a little business, at decent margins with virtually every sized business.
Gary Bisbee – Barclays Capital: Okay. That's very helpful, thank you. 
Operator: Thank you. Our next question comes from Vance Edelson with Morgan Stanley.
Vance Edelson - Morgan Stanley: Hi, thanks a lot. You pointed out you haven't closed a lot of offices and those that were closed were fairly small so just curious about your perceived market share gains as you've maintained your presence out there. Are competitors struggling a bit leading to any market share gains and along the same lines, given your strong cash position could you update us on your appetite for M&A going forward?
M. Keith Waddell: Well, clearly a lot of our smaller weaker competitors went down in this downturn like they have in every downturn and clearly they're whatever temporaries they have on assignment immediately come register with us if they haven't already and we benefit from that. That's not any different than any other cycle so clearly as the market shrunk the number of players have shrunk even more so I think you could argue, although you can't really quantify it, that our market share has expanded a bit.
Harold M. Messmer Jr.: It's hard to be very accurate with your marketing data at this stage, but our guess is that we have picked up some market share, but time will tell. We're in good shape financially and otherwise and that's pretty well known within the industry so we tend to be a stable provider for small and mid-sized businesses that want to be sure if they need help that they have a stable vendor.
Vance Edelson - Morgan Stanley: All right, and just as a followup now that you've started to hire back some, are you finding it easier to locate and hire qualified personnel in this economy, maybe at better prices which could help mute the impact on SG&A going forward?
M. Keith Waddell: Well clearly the supply of the labor pool and the quality of that supply has never been better. Whether it's less costly in a big macro sense than in the past may be a little bit, but that's not — again, hiring in the early part of an up cycle is not something we do a huge amount of anyway. What we instead do is utilize the capacity of our existing staff which lets them make money which is what they want to do too.
Harold M. Messmer Jr.: Yeah. Our focus is on getting top quality people who have the technical skills that are requisite for each of our divisions who also have strong people skills and can relate well to clients. And I agree with what Keith said, there's never been a better time in terms of the pool of candidates available. We're probably less concerned about some slight cost savings in terms of hiring people like that than we are in getting top quality people, but the higher the quality the more we'll be rewarded long-term in terms of what they produce for the business.
Vance Edelson - Morgan Stanley: Okay, and I just want to clarify something that you mentioned earlier. I think a quarter ago you had characterized the pay bill spread as fairly flat, what are the latest trends there?
M. Keith Waddell: So I'd say it was down slightly. If you take the noise of the workers comp adjustment out it was down slightly for the quarter and that was the retail business. That didn't have anything to do with mortgage refinance. It was down slightly, but only slightly.
Vance Edelson - Morgan Stanley: Okay got it, thanks guys.
Operator: Thank you. Our next question comes from Andrew Fones with UBS.
Andrew Fones – UBS: Yes, thank you. I think in terms of discussing incremental margins coming out of the last downturn you're referring to 2004 and if I look back at your overall staffing headcount during that year I think it was up about 19% so will you expect to be able to kind of add staff at that rate potentially this year if you were to see a similar top line recovery?
M. Keith Waddell: I think that if the question is, is there an adequate pool of people out there we could hire if things really ramp up, I think our belief is yes we could. I'll say throughout our history it's scary with our own internal field people that when we give them the green light to hire, usually by the end of the week it's done. It's unbelievable . So I don't question or am I concerned for a minute that if things really heat up and we want to staff up that we could do so.
Andrew Fones – UBS: Okay, but I guess what I'm saying is that it seems as though you've got — you still think these incremental margins would be doable adding kind of headcount to that kind of a rate this recovery?
M. Keith Waddell: Well, and again it's relative to the top line growth and I think your headcount growth would lag your top line growth and you'd get some leverage from that and you're going to leverage your fixed-cost base that got deleveraged in this downturn.
Andrew Fones – UBS: Okay, thank you. And then just kind of one other if I could on perhaps a similar topic. Monster just rolled out a new technology on their site, I was wondering to the extent you use that if you're finding that's improving the productivity of your recruiters.
M. Keith Waddell: So we use multiple job boards in the sourcing of candidates and in some geographies and in some verticals we find that helpful and others we don't and that's all we'll say.
Andrew Fones – UBS: Okay, thank you.
Operator: Thank you. And our next question comes from Jim Janesky with Stifel Nicolaus.
Jim Janesky - Stifel Nicolaus: Yeah. A lot of my questions have been answered, but kind of going back to perm again, Max and Keith, surprised that at the strength within the fourth quarter — you talked a bit about there's not a lot of slack in the system which I think makes sense, but are you seeing that companies are starting to feel more comfortable with hiring again or is it just kind of coming off of a bottom?
M. Keith Waddell: Anecdotally our perm people would tell you our clients are more comfortable adding people and kind of a whole aside anecdote was that one of them said that our clients are not being as abrasive with us as they have been for the last few quarters. So clearly the tone is better even for full-time hiring.
Harold M. Messmer Jr.: Jim, in addition to the need of the client I'll just remind you as I know you already know that the pool of qualified people is really outstanding and so for a lot of these businesses they're able to hire people that frankly they could not have hired a couple of years earlier. They're just outstanding candidates on the market. We've never seen in your lifetime or mine, a job market as bad as this one has been. So the result is there are outstanding people available and I think a lot of small and mid-sized businesses in particular are just really amazed and the quality they can attract and they're moving on it. They're entrepreneurial.
Jim Janesky - Stifel Nicolaus: And is there any difference in perm in the mix of small to medium sized versus larger companies versus your overall business?
M. Keith Waddell: No. There's very little, if any, change there.
Jim Janesky - Stifel Nicolaus: And I know the first quarter is always, as a followup, always a lower gross margin in any environment just because of payroll resets. The state unemployment tax, while that's going to have a larger effect in the first quarter we should flow that out in our models for the rest of the year, right?
M. Keith Waddell: We certainly are making every effort as we speak, passing that through, either to the client or to the candidate. It will take awhile to get it passed through, but certainly this is not the first time we've ever had to deal with this, but it doesn't happen overnight either.
Jim Janesky - Stifel Nicolaus: Sure, thank you.
Operator: Thank you. And our next question comes from Tobey Sommer from SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey: Thanks. I had a question for you about how to think about how the cycle could unfold. Looking at the recession as you said, unprecedented unemployment, your customers cut very deeply. Does it make sense to you that in this context that the temporary job market could actually see kind of a prolonged period of superior growth? And just with your historical perspective having written out many cycles, the deeper the recession, is that followed by a better period for staffing generally? Is that your expectation?
M. Keith Waddell: Clearly that's a plausible theory and we're off to a good start and we're off to a much better start than one would predict given even our own history and so there is a Goldilocks scenario where companies for a long time are cautious in hiring full time and therefore they hire more temporaries. That said it's not like our perm business is totally lagging and we've had three flattish to slightly up perm quarters that given all the headline labor market statistics, you would think would be much weaker than it is.
Harold M. Messmer Jr.: To the extent there's significant uncertainty in the minds of business people about what the future holds ion the economy, I would say that generally speaking it probably is and has been in the past, a good thing for the temporary help business. If you're an entrepreneur you're going to think harder about hiring someone on a permanent basis than you are on a temporary basis. That having been said, as Keith noted either because of the quality of the people or the severe needs or whatever, our perm business has been doing very well. But yes, it's a Goldilocks scenario, but it's one that is plausible. We can't obviously predict that, but it's a possibility.
Tobey Sommer - SunTrust Robinson Humphrey: In terms of folding in the costs both either to your customers or in terms of the pay rates of new incremental taxes, what's the average during of your assignments now so maybe that's a way to think about how long that could take to fold into the P&L?
M. Keith Waddell: It varies by division. I'd say at the low end it's a little under a month and at the long end it's six months and so those that turnover more quickly you might wait until the next assignment. Those that are longer-term projects, they're typically higher bill rates and 1% of that number typically isn't as big a deal to that client and you wouldn't just wait until the end of the six month assignment and reprice the next one. So it's a combination, and again we've plowed this field and so it's not like it's the first time we've ever dealt with it, but it does take time.
Tobey Sommer - SunTrust Robinson Humphrey: Thank you.
Operator: Thank you. And our next question comes from John Healy with Northcoast Research.
John Healy - Northcoast Research: Good evening and thank you for taking my call. Kind of a big picture question, when you guys look at the business today and you're starting to see things get better from here, what part of the business or what business unit or end market do you feel has the most potential for kind of a secular tailwind behind it? Maybe what business unit and maybe why you feel that way?
M. Keith Waddell: Well, I would say the biggest secular story remains a low penetration rate we have with small businesses across our verticals. So if you're looking for us to call out a vertical I would instead focus more on we think the small business market is still particularly underpenetrated. The professional portion of the small business market is even more underpenetrated so we're bullish on small business and we continue to believe it's underpenetrated and that crosses our verticals, particularly in staffing, where all our verticals essentially have the same target client base.
John Healy - Northcoast Research: Yeah, that's helpful. And when you think about your customer base in the small business, is the motivation for them using temp the percentage of maybe the labor force that works for small business that's temp versus what you'd find for larger customers, how different do you really feel that is and maybe the difference in motivation, if there is one, for the big customers who use the temp versus the smaller business?
M. Keith Waddell: I'd say the smaller business is more quality conscious, they're less price conscious. It's probably related more to some kind of project-based demand driver and over time more resilient and we actually feel very good and I think there's a barrier to entry embedded in our having a small business-focused client base because you can't, as a competitor, wake up tomorrow and decide hey we're going to go after Robert Half. And to go after Robert Half you have to go after thousands and thousands and thousands of clients rather than show up at your household Fortune 100 and drop your pricing. So we're very happy with our positioning with small businesses and we hope our results this quarter and this commentary about where they are with their credit requirements is some indication that it's not necessarily going to underperform relative to larger-sized businesses as we progress during this up cycle.
John Healy - Northcoast Research: Great. That's very helpful, thank you.
Operator: Thank you. And our last question comes from Mark Marcon with Robert W. Baird.
Mark Marcon – Robert W. Baird: I had two quick followup questions. The first one, can you just talk a little about Protiviti? You gave us some good guidance with regards to the coming quarter, but based on the projects and the areas that you're seeing strength, how do you see the year unfolding, assuming that we don't have a double dip?
M. Keith Waddell: So Protiviti US had a very solid fourth quarter. It in fact was more profitable than temp staffing or perm staffing for the quarter. It did extremely well. Protiviti non-US, while light years better than it was earlier in the year, it's still underwater and offset the profitability of the US. We will continue to focus on and work on the profitability of Protiviti non-US in 2010. As I said, 2010 seasonally the first quarter is always Protiviti's weakest quarter. Clients focus on Ks and Qs, they don't focus on internal audit. Therefore there will be a revenue dip, Protiviti will lose money in the first quarter. We fully expect that to turnaround in the second quarter and in the background we also fully expect to continue to make progress outside the United States. From a nature of services standpoint their internal audit co sourcing and outsourcing renewals are very strong. They've diversified their revenue sources significantly away from stocks relative to two or three years ago. We called out IT security, we called out e-discovery, we called out credit-risk assessment. They've done a wonderful job of diversifying their revenue sources over the last 24 months. So we're bullish about 2010 as it relates to Protiviti, but you're going to need to be patient during the first quarter while we get through their seasonally weakest quarter.
Mark Marcon – Robert W. Baird: And I appreciated the commentary with regards to the first quarter and caught that when you initially talked about it, I was thinking more about the back half based on the current visibility do you have. Do you think with things stabilizing in the international markets and the profit improving and you did mention that, do you think you can get the international markets up to breakeven or potentially profit by the time we get out to the fourth quarter?
M. Keith Waddell: That is certainly our plan and we're very working hard against that plan and I guess that's all I can say in specifics, but clearly we have a very strong and very solid Protiviti US business as we speak and we have a much improved non-US business relative to a year ago relative to two quarters ago. We still have some work to do and we're still very focused on doing it.
Mark Marcon – Robert W. Baird: And then this relates to the general point that you were making with regards to your longest and biggest opportunity and that's continuing to penetrate the professional segment with small businesses, are you currently finding that you're basically generating business with the same clients that you've had before or are you seeing a behavioral change where you're getting more trial from new clients that you haven't seen before?
M. Keith Waddell: We always have a very diverse mix of new client business and existing client repeat business. Because projects drive demand, every client doesn't always have a project every year and therefore you always need new clients to supplement repeat business with existing clients and I would say there's a fairly robust improvement on both sides, both new clients and business from existing clients or previous clients.
Harold M. Messmer Jr.: Mark, all I would add is that obviously we followup pretty regularly on our marketing programs with existing clients, but we do see the current environment as an excellent opportunity to develop new clients. As I said I think in my opening remarks, a lot of clients have decided that the idea of strategic staffing, or that is using temporaries on a more regular basis, makes a lot of sense for their business. It gives them flexibility on the upside and the downside and so obviously that coupled with an outstanding pool of candidates, we're marketing heavily to expand our business to people that have not used our services in the past. We still think there's a very large percentage of the business population that has never used a professional temporary from anyone and we'd like to show them the benefits of doing so.
Mark Marcon – Robert W. Baird: Great, terrific. Thank you.
Harold M. Messmer Jr.: Thank you. That's all we have time for today. We appreciate your interest. Thank you for your time.
Operator: Thank you. This concludes today's teleconference. A taped recording of this call will be available for replay later this evening through 8:00 pm Eastern on February 5th. The dial in number for the replay is 800-374-0934 for inside the United States, or for outside the US country code plus 1-402-220-0680. Once again those numbers for inside the US, 800-374-0934 or for outside the United States, country code plus 1-402-220-0680. This conference call will also be archived in audio format in the investor center at www.rhi.com. Thank you for your participation.